Operator: Good afternoon, everyone, and welcome to the Progressive Care Incorporated fourth quarter financial results conference call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note that the event is being recorded. And I now, I’d now like to turn the conference over Mrs. Mars, Chief Executive Officer.
Shital Mars: Hello. This is Shital Mars. I am happy to be doing our first earnings call with audited financials. So, I’m going to read a brief statement very quickly and then we'll get into the bulk of the call. So, forward-looking statements except for historical information contained herein, the statements in this conference call are forward-looking and made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are inherently unreliable and actual results may differ materially. Examples of forward-looking statements in this conference call include statements regarding the payment of dividends, marketing and distribution plans, development activities, and anticipated operating results. Factors which could cause actual results to differ materially from these forward-looking statements include such factors as the company's ability to accomplish a business initiative, significant fluctuations in marketing expenses, and the ability to achieve and expand significant levels of revenue we recognize and income from the sale of its product and services, as well as the introduction of competing products or management’s ability to attract and maintain qualified personnel necessary for the development and commercialization of its planned products and other information that may be detailed from time to time in the company's filings with United States Securities and Exchange Commission or, in our case, OTC Markets. The company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events, or otherwise. So, now, I’d like to get into a little bit of the MD&A that you guys are looking at. I released the shareholder letter about a month or two ago and I kind of outlined a lot of the accomplishments in 2016. And I’ve got to say that there are some phenomenal ones to note. The first being that we became OTC Pink current information. All of our financials were filed on time, and to the best of our ability, were accurate. And then on top of that, we had reviewed financials. So, we secured [indiscernible] to do our quarterly reviews. And then when we did this audit, we went with Berkowitz Pollack Brant to do the full audit of 2016. We got a secured financing partner in Chicago Ventures and we engaged Boustead Securities, a California broker-dealer, to help us locate mergers and acquisitions targets and help us navigate our future as a public company. Through Chicago Ventures, as you all are well aware of, we took down about $250,000 of a $2 million drawdown. We have not needed any extra tranches and we don't really expect to take down any further tranches in the near future. During the fourth quarter, as many of you have anticipated, we completed the buildout of the warehouse. We installed the ScriptPro automation system and are filling capacity and our accuracy has greatly been enhanced by all of the effort we put into making sure those two things were accomplished. We've had now more square footage to devote to long-term care facilities, and that square footage is what we were lacking prior to the buildup of the warehouse and getting those long-term care contracts. So, now, we feel like we have the wind at our back and the space to accommodate any new contracts with any new nursing home and assisted living facilities. During the year, we achieved 20,000 prescriptions filled in a single month which was an incredible achievement, far surpassing any record month that we had in previous years and we’ve expanded our marketing efforts. We have a really broad and dedicated marketing and sales staff that go out and do in-services with doctors and meet with patients that kind of spread the word about PharmCo and now we’ve got a foothold as far as Martin County, including other counties in the State of Florida where compounded medications are able to be delivered and we service nearly 12,000 patients and 2,700 individual doctors. So, another accomplishment, and I’ll get into the financial statements a little bit is we had over $18 million in sales this year. Yes, that’s a real number. That’s the most common question I get from time to time, is all the news we publish for a whole year, is any of it real. Yes, it is 100% real. We did do $18 million in sales. We did bring up our cost of goods – bring up our margins – our gross margins by decreasing our cost of goods relative to our prescriptions filled. And so, for the first time since 2010, we have a positive net income. I can't stress you all enough what that means to us, what that means for you guys as shareholders that we now have finally come out of the hole, and we are on level ground here and we can use this momentum to go into the future as a stable, long-term, viable company. So, I’m incredibly proud of all that we’ve achieved. It was difficult, but it was well worth it. And I hope that all of you feel like it was well worth the wait to see us get to this point. I know a lot of you have been with us since 2013, 2014 when our shares weren’t worth very much and you stood by us through a long-haul growth, but I hope you now see that we intend and continue to deliver on your expectations. Another thing that I think is important to note that we are a five-star pharmacy. And a lot of the people ask, why have we gotten so many sales, why our sales is continuing to grow, and a lot of that has to do with reputation. There are not a ton of independent five star pharmacies. And what do I mean by five star? Our performance is rated by PBM. That includes Optum, that includes Express Scripts, and they look at whether we are keeping with our hearings, our compliance, our brand to generic ratios, we are completing our MTM cases – MTM is medication therapy management – and are those completed timely, are those completed accurately, and so by doing all of this, [indiscernible] also high risk medications for elderly patients, making sure our ratios are down on that and we do better than almost anybody as running a pharmacy and doing the best we can for our patients, our doctors, and the insurance carriers that pay us. So, that’s the biggest reason why our sales continues to grow, doctors continue to call upon us to help them get their ratings up and start achieving bonuses on their end because they know that a lot of what their bonus is tied to has to do with the performance of the pharmacy that they recommend. So, we’ve gotten a lot of traction, we’ve gotten a lot of unsolicited interest in our abilities as a pharmacy to provide service to certain patient demographics and we have answered the call in almost every instance with excellent results. So – well, how does this compare to last year on just the P&L side. This is a 33% increased on just the net revenue there. And, yes, our total cost of business as a percentage of sales is down to 72% from 75%. So, that gives us better gross margin. A lot of that has to do with increasing efficiency. A lot of that has to do with getting sales that have higher gross margin than traditional generic medications, and so we’ve done a really good job at diversifying our revenue sources and inching up that gross margin to meet our operating expenses and then some. If we go to our balance sheet here, obviously, we have $800,000 in cash on hand. That’s a big increased, a big jump from 2015 where we had just about $300,000 at any given time. We have about $750,000 in the bank to meet our current and long-term liabilities, and so we haven't had an issue with meeting our payroll. We haven’t had an issue with meeting our vendors’ bill or our creditors’ bill, of which we don't really have any yet, but we do have the ability to meet all of our organic growth needs with the money we have on hand. Our accounts receivable at $800,000. That equates to about two weeks and change of AR outstanding. We’ve eliminated our bad debt on just the account receivable from pharmacy. It’s about 1% of our AR balance per quarter. So, let me give you some perspective on that. If we do $5 million in sales in a quarter, only about $10,000 is bad debt. And that's where the PBMs, for whatever reason, they may have fallen through the crack and we didn’t collect or rejected for the patient moving insurance or not maintaining coverage through the billing period or so on. There is a number of reasons for that. But we keep a pretty tight ship on our AR. We keep a pretty tight ship on inventory as well. We turn over our inventory about every week and a half to two weeks, so we don’t have anything languishing on our shelves until we make really good use of the resources that we have here. As I said before, we have the note of $250,000, certain derivative liability associated with that note that we do based on the Monte Carlo simulation and we do that even though it's not necessarily required. We do it because it is the best practice. And if we are to up-list, we want to make sure we are keeping up with all the best practices and being GAAP compliant until we’ve done above and beyond what we need to do as far as accruals to make sure that this balance sheet is as penny accurate as it possibly can be. As you know, we issued a certain amount of shares for the 3(a)(10), a significant amount. I believe, with all of my heart, that doing that deal was in the best interest of the company. We are here. We are debt free – aged debt free rather and we have been able through the support of our shareholders coming in and buying our stock and supporting our company and we've been able to add – we’re now up to 50 employees. We are doing 18,000, 19,000 scripts a month and I think it was well worth everybody’s time and effort and money to help us do that. In 2015, we retired all of the shares that were necessary to fill our creditors’ liability. So, we didn't leave anything hanging out there and then we had over the year a few consultants people who helped us with websites, people who were helping us with mergers and acquisitions come in and do what they need to do for a little bit of equity there. And so, we now are at about 344 million in shares outstanding. I think the last of all of our consulting shares have been issued, so now we’re about 345 million and I think that’s it. No more is planned to go out. I'm not getting any. None of my insiders are getting any. And I think that should be music to everybody’s ears. We have no interest in diluting anybody any further at this point. I went over the cash a little bit. We’ve done an incredible job of building cash consistently this year. And so, we added $0.5 million to our balance sheet and our cash and that’s provided a lot of security, a lot of stability and it’s basically allowed us to go to investor conferences and road shows and tell them we’re now interested that are going to fund short-term liabilities. We don’t need that. We’re interested in material growth, organic growth we can finance ourselves. And so, we’re looking for the right partners, right M&A targets and that’s what we’re interested in doing right now. So, let's look a little bit further into the future. What does 2017 hold for everybody – for us and everybody on the call. We are planning to greatly increase how much work we are doing with long-term care facilities. We’re going to pursue nursing homes and assisted living facilities, get our workflow up to capacity there on that side. We believe we can do a tremendous service, on top of adding core organic growth business, going through – continuing to go to clinics and doctors’ offices and present to them options for choosing and recommending PharmCo above all others to improve their bonuses, improve their performance and also improve – at the end of the day, this is what this is all about, improve the health outcomes of their patients. We believe we do that better than anybody else down here and doctors more and more and more are seeing that as well and they continue to come and call us and we continue to improve how we do our job here and adjust to the changes and the industry changes in the healthcare market. And I think, by us, adapting to everything that has been going on, we've been able to stay nimble and continuing to grow. We have some other new businesses, new and exciting businesses last year. We started 340B in December of 2016 that kind of grew – we kind of got the exclusive ability to service Empower “U”. They switched all of their business or almost all of their business to us because of how well we handle our prescriptions, how well we handle their patients. And then, we also got Community AIDS Network. And as of April 1, that contract is active, and so we [indiscernible] and we believe that those contracts will now lead to many others. We've always been a staple in the HIV AIDS community, but we also can do a lot for those who are underinsured or uninsured. We think we have a better service than is currently being offered by a lot of companies out there who do 340B. our tracking is better. Our patient management is better. Our MTM is better. And so, a lot of 300B companies are coming to us and saying they want to see us, do well, and give us the business and the relationships. Also, we have Smart Medical. Smart Medical was established to do consulting work and eventually independent MSO work. And MSO is management service organizations for healthcare company. And what they do is they do billing and coding and staffing and compliance for clinics. And they do all of the data analysis that is necessary to help a clinic achieve its bonuses and performance. The thing that separates Smart Medical from all the other MSOs is they come with a pharmacy, which is the biggest headache for most clinics. And so, when they go to a clinic, they are pitching themselves and they’re pitching PharmCo and we benefit a lot from that relationship and we expect that, in the next coming quarters, that Smart Medical will really takeoff, especially if we can secure some PDMs and insurance contracts on the MSO side and then they can become an on-site MSO for some of these clinics. We intend to grow our sales by about $4 million a year to about $22 million. We want to do about 24,000 or 25,000 prescriptions in a single month. That’s going to take some work. That’s going to take some hustle on our part. So, we’ve built a sales staff that is second to none and we believe we can go out and get the business, earn the trust of our communities and make sure that we deliver all that’s expected of us. So, on that note, I am going to turn it over to questions. I’m sure everybody has a lot, but I'm so happy to say that we are audited, we are filed, and now it's just a matter of going to the next level. Thank you.
Operator: [Operator Instructions] And it looks like our first questioner today is Andrea LeVan with AT&T. Please go ahead. Ms. LeVan, your line is open for questions.
Andrea LeVan: I’m sorry. It would help if I get off mute. First of all, I just want to congratulate your management team for an exceptional year. And my question here is, when does your company plan to up-list to the OTCQB. I think I speak for most of the shareholders here that I know your ultimate goal is to NASDAQ, but the OTC Pink Sheets unfortunately carries quite a stigma for OTC companies and we would all like to see you at least up-list to the OTBQB in the interim.
Shital Mars: That is a really great question. I get it all the time. And what we’re trying to do right now is do everything we can to do an up-list. Now, that could come in two different forms. That can be going straight to NASDAQ through maybe an M&A type scenario or doing the up-list. Now, we've completed – the whole point of doing the 2016 audit was to get it under our belt, get a relationship with the auditor, and then go back possibly to 2015. Now, timing of this is a little tricky. By doing the 2015 audit and then filing what we need to file, it could be possible that our OTCQB up-list coincides with doing the 2017 audit. Now, I’m going to audit 2017 anyway and the timing of that kind of matches up. It might be early 2018 that you'll see a change in our listing status. Again, we’re not precluding auditing 2015. It’s a discussion we’re going to have now with the auditors to see what kind of timing they can give us and how much manpower they can devote to auditing 2015 and then all the requirements that are listed for up-listing to OTCQB, trying to meet all their requirements. I believe we can do it, but we’re now looking at a long-term scenario for the up-list. We’re looking more near-term. And I wish I had specific dates for you, but I don’t. Does that help?
Andrea LeVan: That does help. And my only other question is, do you have any type of an update on your legal proceedings with Midam Ventures?
Shital Mars: I do not have any updates. Last week, we issued a press release and I cannot stress enough that – we identified some selling on their part. However, I don't want to insinuate that I know any more or less than that, and we are working with our attorneys. And if we – if there are any further developments, obviously, we’re interested in keeping everything transparent, so we will make sure that we go and issue another press release for every additional update that we can. But up to now, the only comment on the litigation I can give you is what is already out there.
Andrea LeVan: Okay, great. Thank you. That’s all I have.
Operator: Our next questioner today is Dema Thomson [ph] with [indiscernible]. Please go ahead. Ms. Thompson, your line is open for questions. We have lost connection with Ms. Thompson. [Operator Instructions]
Shital Mars: I do want to state that if the questions coming in through the web portal, I am having difficulty seeing those questions. It's not that I'm actively ignoring them. So, if you could get on the line, if you’re hearing this and can get online and ask your question in person, I would appreciate it.
Operator: And we have a question on the phone line and that is Brian King, a retired investor. Please go ahead.
Brian King: You’re already in 11 states currently right?
Shital Mars: Excuse me. Can you repeat…?
Brian King: You’re already in 11 states, right?
Shital Mars: Yes, I believe that’s the number.
Brian King: Is there a goal this year for you to be in anymore?
Shital Mars: So, here’s the issue with new states. Now, we’re really proud of getting the states we have, but the industry, as far as shipping out of our resident states, has changed. And so, we have to now beef up our compliance apparatus for meeting all of the requirements and obligation to each and every PBM when we ship out of state. And some PBMs specifically preclude it now. They won't allow a resident pharmacy to ship out of state for a number of reasons, and so we are trying to figure out now how to best navigate that. We have done a pretty good job of expanding throughout Florida. We have found PBMs that have okayed us and allowed us to ship to Texas, New York, and some other states. But we don't want to put the cart before the horse, and so we are making sure that we are abiding by all the laws in all the states and all the PBMs and to – I cannot stress enough. None of those things match. No two PBMs, no two states have the same laws. So, it’s a little bit trickier now than it would have been five, ten years ago to get into more states.
Brian King: So, there’s no goal as of right now to increase that from like 11 to 15 or 18 or…?
Shital Mars: Not at this time. However, that's not to say that we won't be doing it. It’s just that I don’t want say there’s a goal because at the end of the year, it could be that all the PBMs or Medicare or Medicaid start saying we’re not going to allow any shipments out of state and then where are we at. So, I want to make sure we keep an eye on all of the rules and regulations and they’re coming down the pipeline. They’re always changing. So, we’re making sure we’re on our best foot here.
Brian King: Okay. I’ve got one more question. And before I ask that question, I want to thank you guys for being so transparent and diluting the crap out of the market. I just appreciate you for being a pink stock and what you have done and what you have said and what you have done and you’ve upheld everything you’ve said. And I just really appreciate that. It’s just been so transparent and I’ve got nothing but positives to say about you guys. So, I want to thank you for all that. And then, I want to ask you. There’s been some news postings I’ve read on iHub and on your postings too. Can you elaborate anything on what’s going on your talks with CVS and Walgreens?
Shital Mars: Talks with CVS and Walgreens? That’s actually news to me.
Brian King: Okay. I’ve heard comments and I’ve heard something about – there has been contact with CVS and Walgreens in the past. I don’t know how long ago, but I remember reading about it. And I’ve also read some comments about it here and there. So, if you could clear that up and there’s never been any or there has been, then I would like to hear that.
Shital Mars: Oh, okay. I think what you’re referring to – on a fairly regular basis and this is standard practice for CVSs and Walgreens. They send out a boilerplate letter to every pharmacy within a radius of a store and call the stores and offer to buy them up. Now, the problem with that – not that we’re all against CVS and Walgreens, we’re having communications with CVS and Walgreens – is that their model for taking care of patient doesn't work for our patients. So, when they go and buy a company like us, all these patients wouldn't get free same-day delivery. They wouldn’t get the kind of service that my pharmacists can give them. They’re just buying the database. And to them, it’s a numbers game. They’re going to most of those patients to other independents. And then, at the end of the day, I haven't done anything to help my patients. I haven't done anything to help my shareholders. And usually, they offer very minimal amounts for pharmacies and I’m not interested at all in selling PharmCo or selling this business for less than what I believe it's worth.
Brian King: Okay.
Shital Mars: They always send a letter. So, they send a letter to everybody.
Brian King: Well, I want to thank you for you honesty and I want to thank you for not diluting the crap out of the market. And everything you’ve said, you’ve done. And you’re very much appreciated as a standup company and I want to thank you very much.
Shital Mars: Well, I appreciate it. It’s nice that people recognize the effort we put in here.
Brian King: Well, on iHub, my name is Roll Tide [ph]. I don’t put many comments on there, but I am very much on top of what's going on. And I appreciate everything you do. I just really think you guys are just outstanding. So, thank you very much.
Shital Mars: Thank you.
Operator: Our next questioner is Dema Thompson with [indiscernible]. Please go ahead.
Unidentified Analyst: Thank you. And thank you, Ms. Mars. I don’t know where to begin to congratulate you on all this fabulous news, particularly the first time becoming positive net income with 34% increase in net revenues, your $18 million in sales, 2,700 doctors now on board, 20,000 patients, 19,000 scripts a month, 50 employees up from 41 in November, your share structure only going up to 344 million outstanding, and to have that kind of cash on hand. So, you're doing all the right things. I really appreciate that. I think some of the questions I wanted to put forth have already been asked, but I did hear you say, giving shares out for merger/acquisition consulting work, does that mean you're looking at making some acquisitions?
Shital Mars: We have always been looking for acquisitions. We’ve put in – a lot of the hiccups – I’m going to back up, a lot of the hiccups we face in our M&A dealings is the fact that we didn't have audited financials. So, now, going forward with the 2016 audit makes it a lot more appealing and a lot more attractive to other M&A targets. They have faith in what we’re presenting them. They recognize that it has been independently reviewed and its accuracy can be opined upon. So, now, we can move forward and really get into some serious talks with targets that we identify. We are doing everything in our power to get to the next level. And we don't want to eliminate the possibility that an M&A is going to get us where we want to go. We are completely prepared to go it alone. That’s why we did our audit. We can keep going from here. But we think M&As also present a very fascinating opportunity for us. We just got to find the right partner. One thing I tell a lot of people about is we’re not a traditional pharmacy. So, trying to partner up with maybe a Publics or a CVS is very difficult for us because it doesn't yield what it should. And so, we think we can get some relationships with some other healthcare companies, other healthcare type companies, not just pharmacies, although pharmacies are also part of it and really create something here where PharmCo can be kind of the hub of a growing healthcare enterprise.
Unidentified Analyst: Great. I know the last time we – yeah, last time we spoke about your new warehouse just being completed, I believe, how's that working out if you can give us data from that.
Shital Mars: Oh, my goodness. It’s fantastic. I get excited. I come in every morning and I walk back there and I see a bunch of smiling faces and see the machine which is just a beautiful thing to watch, watch it fill scripts, watch it fill them accurately, greatly increase our capacity. It’s brought down our cost of goods because we can buy in bulk now and fill prescriptions significantly faster. Our staff is a lot less overworked. So, when we get those off-brand medications or unique medications, they can devote their time to accurately filling some of these more exotic things or things that are larger quantities. And so, they are doing a much better job. I don't know. It’s one of those things where I don't know how we live without it. And now, I’m so glad we have it.
Unidentified Analyst: And just in terms of the national scene where healthcare is back in the news almost daily with regards to the program and potential changes, would that impact you in anyway?
Shital Mars: So, any change in healthcare on the federal level is going to impact everyone, all the way from insurance to patients. And I don't want to get into a political conversation here, but I want to say that we believe in the healthcare industry, that the healthcare industry is best benefited when patients have access to affordable healthcare. And so, we want to make – more insured people is better for everybody. You're more likely to get preventative help, you are more likely to fill a prescription, you’re less likely to use costly emergency services if you have insurance. And so, we want to encourage any path forward in Congress to get more insurance in the hands of more people. And I think that's true of everybody. I think that’s the ultimate goal of everyone. It’s just healthcare is complicated. And so, it takes a bit of doing and it takes a bit of negotiating. We’re never going to be done with the healthcare conversation. It’s always going to be tweaked, it’s going to be revised, and so there is no perfect solution right now. But, hopefully, we’ll get improvements.
Unidentified Analyst: And just one more thing about medical marijuana., is that in the future for Progressive Care in anyway?
Shital Mars: So, we have done some preliminary research. I know that sort of recent passed, the medicinal marijuana initiative here. And so, we were excited about that. And so, we have definitely looked into it. But, right now, Florida has yet to put out the rules. It’s just like with Colorado. You can’t go and just start marijuana and start selling it. You have to know what your state’s rules are and I'm pretty sure that Florida’s will be a lot different than the way California started out, a lot different from a lot of these other states. And so, we’ve got to wait for the rules. But, yes, even without the rules, we are exploring all of our options. So, that way, we’re ready in case this becomes a viable business opportunity for us.
Unidentified Analyst: Terrific. Thank you so very much. You have a great day. Good evening.
Shital Mars: You too.
Operator: Our next questioner today is Norton Bujitos with Norton Bujitos Jr. Esquire LLC [ph]. Please go ahead.
Unidentified Analyst: How are you? Long time.
Shital Mars: I’m good. How are you?
Unidentified Analyst: I’m Okay. A 100% believer in this company. I love what you do. Going back to the question that the gentleman had before about expanding into other states, is there any plan to maybe open up a branch – I guess I’ll use that word – a branch in a state that prohibits out-of-state delivery of medication? Would that be something that would be in the plan?
Shital Mars: Yes. It’s always an option and an opportunity. We have – our model specifically needs a certain set of parameters to thrive no matter where a location is placed. So, rural areas is not going to really work for us. We’re looking for more urban, diverse areas where a lot of patients can be serviced in a short mile radius or within like a Tri-County area. So, obviously, the northeast corridor presents a phenomenal opportunity. There are areas of Texas that present interesting opportunities. Tennessee also has some places that we’ve looked at. Again, all of those – to expand to another state, it might require us to take down some capital and we wanted to make sure we got up out of our debt situation, which we did in 2015. We got into a positive cash flow, a positive earnings model before we incur any additional financing or funding that might impact our cash flow going forward. But it’s always an opportunity and we’ve looked at some interesting locations to move forward with. So, that’s on the horizon. We’re kind of navigating those rules and those regulations now.
Unidentified Analyst: Okay, thank you.
Shital Mars: You're welcome.
Operator: Our next questioner today is Mike McConville [ph]. He’s a private investor. Please go ahead.
Unidentified Analyst: Hi. Thank you for taking my call. I definitely want to echo what everyone else has said in terms of transparency, the fact that we can call up pharmacy really on any given day and have questions answered and just really – I think the biggest thing for me is the fact that you guys are human and it’s obvious you're not trying to deceive anyone. A very honest company. My question is in terms of – and I know you can’t comment on the Midam situation. Mine is just more in terms of promotion of – I don’t want to say the stock alone – I guess what I’m thinking is, if Midam – let’s just say hypothetically, they get the axe. Would it be your, I guess, expectation that you would want to – I don’t know maybe promote – continue to promote the stock in other ways outside of the – sort of the traditional marketing that you guys are doing. So, maybe like, I think some of the things that we’re doing with, like, posting on Twitter, I don’t know, some message boards, do you find value in it? Is it just something where…?
Shital Mars: Yes, I do. And actually, you ask a wonderful question. I've been wanting to put my clarification out there with Midam. What turned out with Midam and the circumstances under that, what has happened, we are not giving up on our IR PR at present. But, now, we’re [indiscernible]. So, we want to make sure that we get a company that has our best interest at heart. And we’ve looked at some really interesting companies that presented themselves at the SeeThru conference and some other conferences, who have come up with some solutions that we find interesting. A lot of my time over the last four months has been dedicated to making sure this audit goes through and this audit gets filed on time, which, by the way, is anybody familiar with the history of the company. When we were doing audited financials, we never filed on time. This is our first on-time audited financials and I’m going to toot my own horn a little bit for that. But I devoted a lot of time to that. We’ve had some nice calls with some companies that have a Twitter presence, that have a social media presence, and they've given us some solutions. So, now that we've got this audit behind us, I can proceed in earnest with the new marketing strategy. And also, it helps now. I think a lot of the difficulties we face before is that when you’re Pink Sheets and you’re only filing reviewed or you’re not even filing reviewed at all, people lack faith in what you're presenting to them. So, all the marketing and all the PR in the world wouldn’t turn skeptics. So, now, we’re just in a much better place with a much better product to take to the public and we think we can get a company who’s going to be a good partner for us and be on our side.
Unidentified Analyst: Yes. That’s great. Thank you. I think the main takeaway there and it’s – like you just mentioned initially on the call, it’s really – with all of this, it’s [indiscernible] for the horse. Everyone, I’m sure, tomorrow would love to see this brighten up there on the NASDAQ, but the bottom line is, you definitely got to put your ducks in a row before you kind of do all those things. So, thank you. And well wishes to you and everyone that works down there.
Shital Mars: All right. Thank you. Thank you for your call. I’m going to take one more question. I see one more question here again. If you were putting questions on the Web portal, I am so sorry. I don't see those questions and I haven't been able to answer those questions. But if you reach out to us at any point, if you can call in and ask it now, I might be able to take a couple more, but I’m going to try to just take one or two more questions here. I’m sorry for any of the Web portal questions who aren’t getting answered.
Operator: And our final question will be from Richard Parmer, a private investor. Please go ahead with your question.
Richard Parmer: Yes. I want to also congratulate you on the fine and outstanding work you’ll have been doing and as honest and as forthcoming as you’ll are. My question was, on the loan that you’ll got from Chicago Ventures, $250,000 loan, and you said you didn't expect to take any more loans out with them, what is the timetable of paying them back?
Shital Mars: I believe that they mature – I apologize if I get my absolute dates wrong, but I believe it’s August of this year. However, I've seen on the note maturity a date in April of 2018. I am not sure if that April date is for conversion, if they wish to convert and we so wish to convert their note, but I think it’s August. I think I’ve said this in other calls, I’ve probably not said it recently, we have the cash on hand to repay this note in full with the resources we have available. So, we don't anticipate taking down another tranche. However, I don't want to say anything definitive today. It’s impossible. Because, again, if we believe Chicago Ventures can help us fund our growth strategy, it can help us get to the NASDAQ or OTCIQ – not OTCIQ, OTCQB and they're willing to maybe finance a new location or something like that. Those are discussions we’d have to have. But, right now, I don't anticipate taking on any more tranches in the short term.
Richard Parmer: Okay. I appreciate that. One little follow-up on Midam. Looking back now on this, do you think using this particular avenue was probably a mistake for your company?
Shital Mars: I don’t want to say that. I don't want to say anything specific about that. And again, I don't want to comment too much on the situation with Midam. What we have out there is what we have out there. The facts that I will tell you is that, back in 2014 and 2015, they did a job for us. And however it has turned out now is how it turned out now. So, I’m not going to say whether it was a mistake or not a mistake. It just is what it is. And sometimes, in business, things happen and you have to go a different way.
Richard Parmer: I do understand that. You learn. It’s a growing process. I understand that. Thank you for being so upfront and forthcoming and we just wish all the very best.
Shital Mars: Thank you so much.
Richard Parmer: Thank you.
Operator: We do have another questioner today. It’s from Warren Gao with AFC [ph]. Please go ahead.
Unidentified Analyst: Hi. How are you? I do have a question about the SEC filing status. You guys – I believe it was back in 2015 in March – you de-registered with the SEC. A lot of serious investors are very serious with SEC filing status. So, my question is that – are you looking at getting back into this SEC filing status anytime soon?
Shital Mars: That’s a difficult question to answer as of today. Right now, we want to go baby steps. So, let’s start with going OTC, up-listing on the OTC. Let's focus on possible mergers and acquisitions. As you know, going full reporting with the SEC has a significant amount of obligation. And the last thing I want to come out the other side of a dark tunnel and go right back into one. So, I don't want to say that the answer is no, we don't have any interest because that's not what I want to say. But let's focus on the goals at hand. Right now, we want to get two audit – two sets of audited financials under our belt. We want to do what’s necessary to get to the next level with OTC. And if the impetus arises or makes sense where the SEC reporting is right there, we only have to make a few modifications to get there, then that's what we’ll do. If it doesn't make sense, we’re not going to burn a significant amount of capital just to go there, just for visibility’s sake.
Richard Parmer: Okay, thank you.
Operator: Ladies and gentlemen, this will conclude the question-and-answer session. I would like to turn the conference back over to Ms. Mars for any closing remarks.
Shital Mars: So, I’ve been incredibly honored and humbled this year. As you all know, I’ve never been CEO before and it’s kind of an incredible undertaking for me. And I’ve just found so much reward in being the CEO of this company, seeing 50 faces come in and out of my stores, seeing thousands of patients come and use PharmCo, seeing doctors and seeing nurse practitioners and seeing insurance companies come in and say, they've never seen a company so clean as mine and I can't stress to you enough – and I say this at the end of every call – it is 100% a team effort. Everybody in here deserves all the accolades in the world. I couldn’t do it by myself. And I'm so happy that I have a great group of people around me who have supported me. And I’m going to make one final comment about my shareholders. They believed in us a long time ago when there wasn't much to believe in. And the fact that we are here with audited financials, with earnings, with cash flow positive, with $18 million in sales under our belt and some of the same shareholders from years ago who’ve seen so much to love about our company is just incredibly humbling. And I want – as much as you guys have said thank you to me and to my staff and to my management group here, we don't exist without you guys and I am so happy that we have shareholders like you who have done so much for us. We couldn't be any luckier. We couldn’t ask anything more. And now, I hope to really deliver on all that you expect from us. I think the next two months to a year are going to really exciting and I think you’re going to like what you see. Thank you so much.
Operator: The conference has now concluded. Thank you all for attending today’s presentation. You may now disconnect your lines.